Operator: Good morning. My name is Makena, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Granite Construction Incorporated 2024 First Quarter Conference Call. This call is being recorded. [Operator Instructions] 
 It is now my pleasure to turn the floor over to Vice President of Investor Relations, Mike Barker. 
Michael Barker: Good morning, and thank you for joining us. I'm pleased to be here today with President and Chief Executive Officer, Kyle Larkin; and Executive Vice President and Chief Financial Officer, Lisa Curtis. Please note that today's earnings presentation will be available on the Events and Presentations page of our Investor Relations website. We begin today with a brief discussion regarding forward-looking statements and non-GAAP measures. 
 Some of the discussion today may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are estimates reflecting the current expectations and best judgment of senior management regarding future events, occurrences, opportunities, targets, growth, demand, strategic plans, circumstances, activities, performance, shareholder value, outcomes, outlook, guidance, objectives, committed and awarded projects, or CAP, and results. 
 Actual results could differ materially from statements made today. Please refer to Granite's most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these forward-looking statements. The company assumes no obligation to update forward-looking statements, except as required by law. Certain non-GAAP measures may be discussed during today's call and from time to time by the company's executives. 
 These include, but are not limited to, adjusted EBITDA, adjusted EBITDA margin, adjusted net income and adjusted earnings per share. The required disclosures regarding our non-GAAP measures are included as part of our earnings press releases and in company presentations, which are available on our website, graniteconstruction.com under Investor Relations. Now I would like to turn the call over to Kyle Larkin. 
Kyle Larkin: Good morning, and welcome to our first quarter conference call. I'm pleased to report that we are off to a strong start in 2024. Before diving into our first quarter results, I would like to share an update on our organizational structure. During the quarter, we reorganized our operations to more closely align with our reportable segments, construction and materials. We believe that this new structure better positions our leadership team to manage the performance of these segments. 
 As a reminder, we previously organized into 3 operating groups, California, Mountain and Central. In the prior structure, our leaders managed both Construction and Materials operations within their respective groups. Our new structure results and our Construction experts overseeing Construction operations and our Materials experts overseeing Materials operations. Of course, our teams will continue to work together, but we believe the new structure will allow us to better leverage our expertise to drive top and bottom line growth. 
 Construction leadership is focused on supporting regions with growth strategies and project execution while leveraging resources across the company to better serve our national clients. For our Materials segment, newly centralized management functions, such as sales and quality control drive consistency and improved financial performance. Granite has invested significantly in the Materials segment over the last several years, with both acquisitions and strategic investments. And our Materials segment leadership will be tasked with identifying opportunities to build shareholder value for further organic investments and M&A. 
 Importantly,  this new structure does not change our vertical integration strategy in our home markets. Regional leadership in both Construction and Materials segments will maintain the partnership that has differentiated Granite for decades. I believe this organizational change sets the foundation for Granite's next chapter and will accelerate our ability to provide shareholders with higher levels of return. 
 Moving to the Construction segment. I'm very pleased with the strong start to the year. Winter weather in the first quarter is typically our slowest, but our teams are off to an outstanding start in part because of more favorable weather conditions in 2024. So far in 2024, we have bid and won more work than in 2023, with CAP remaining flat from the fourth quarter, but increasing significantly year-over-year. While CAP was unchanged during the quarter, the market has been consistent with our expectations. 
 Our markets in the public and private sectors continue to be strong in California and across our geographies, we expect CAP to grow in 2024. Best Value projects continue to be a focus and represent $2.5 billion or 46% of our total CAP. The collaborative delivery methods captured in this number, like Construction to manage a general contractor or progressive design-build, better position us for success by allowing us to collaborate with our clients to mitigate risk. 
 Larger Best Value projects are often separated into smaller work packages that are reviewed through multiple project workshops. This provides more opportunities to assess and address risks the large bid build projects. In the last 15 years, we have completed or have under contract 87 Best Value projects. Generally, these projects are constructed more quickly and with fewer claims. In the first quarter, Construction revenue increased 18% year-over-year, led by RTEs California, Utah and the Midwest. This was primarily a result of the higher CAP entering the year and the more favorable weather conditions compared to the first quarter of 2023. 
 With our strong start to the year, our current CAP and the bidding opportunities ahead of us, we are on track to win the work needed to meet our revenue guidance in 2024 and continue our organic growth in 2025. Moving to the Materials segment. The first quarter benefited from price increases and higher volumes associated with more favorable weather in our most seasonally impacted quarter. As mentioned previously, we are focused on price increases, targeting a 10% increase on average in aggregates and 5% in asphalt. 
 So far this year, our price increases align with this expectation. We will continue to monitor progress as the year continues, we approach the heart of the construction season. Over the past 3 years, we have significantly invested in our Materials segment. We expect this pattern to continue in 2024 with approximately $50 million of planned strategic investments in further automation projects at plants, new reserve expansion and a new aggregate plant that is expected to come online later this year. 
 We ended 2023 with 1.3 billion tons of reserves, an increase of 294 million tons or 30% since 2021. This includes 140 million tons of reserves added through acquisitions in 2023. In 2024, we will continue to explore M&A options for both bolt-on opportunities and possible expansion into new geographies. We remain very selective in our pursuits, but I'm hopeful we will complete additional materials M&A transactions in 2024. Now I'll turn it over to Lisa to review our financial performance for the quarter. 
Lisa Curtis: Thank you, Kyle. In the first quarter of 2024, we saw a significant improvement in our financial performance compared to the first quarter of 2023. Revenue increased $112 million or 20%, gross profit increased $22 million or 68%, adjusted net loss improved $5 million, adjusted EBITDA improved $18 million and operating cash flow improved $101 million. It is an exciting start to the year. 
 In the Construction segment, revenue increased $92 million or 18% year-over-year to $595 million, driven by higher levels of CAP and favorable weather. The increases in revenue were led by California, Utah and the Midwest. Construction segment gross profit improved $20 million with a gross profit margin of 9.5%. The improvement in gross profit margin was largely due to a decrease in negative net revisions and estimates. 
 The increase in gross profit was offset by $5 million of seasonal gross losses from acquired businesses, including purchase accounting related depreciation and intangible asset amortization of $3 million. In the Materials segment, revenue increased $20 million year-over-year to $77 million with gross profit increasing $2 million to a gross loss of $3 million. The increase in Materials revenue was primarily due to acquired businesses as well as increases in sales, prices and volumes. 
 The increase in gross profit was led by higher sales prices in both aggregates and asphalt, which was offset by losses from acquired businesses of $3 million, including $2 million due to purchase accounting-related depreciation and intangible asset amortization. Building on the momentum from the second half of 2023, cash flow significantly improved over the first quarter of 2023 with operating cash flow of $24 million or $101 million improvement. 
 We have made significant strides in this area, and our teams remain focused on cash generation. With our performance in the first quarter, I believe we are on track to meet the operating cash flow target of 7% of revenue for 2024. During the quarter, total debt decreased $102 million due to the full paydown of the revolver with a corresponding decrease in cash and marketable securities of $116 million. 
 With our cash and marketable securities of $337 million and availability under our credit agreement of $333 million, we have the liquidity to continue to invest in growing our operations, both organically and through M&A. We are continually reviewing opportunities for bolt-on acquisitions to infill our existing footprint as well as expansion opportunities into new geographies such as the Lehman-Roberts and Memphis Stone & Gravel transaction that closed late last year. 
 While we continue to be very selective, I expect that we will pursue further M&A in 2024 that will add to our cash flow generation and lead to increased shareholder value. Now I'll briefly touch on our guidance for 2024. We are raising our adjusted EBITDA margin range from 9% to 11% to 9.5% to 11.5%. The only change in our assumptions from last quarter is that we have excluded noncash stock-based compensation from adjusted EBITDA. 
 This allows for adjusted EBITDA to be more comparable to our industry peers. Excluding noncash stock-based compensation for the full year 2023 would have increased adjusted EBITDA margin from 7.7% to 8%. The first quarter of 2023 has been recast to reflect the adjustment. There is no other change to our guidance for 2024. And based on the first quarter results, I believe we are on track to meet our guidance. Now I'll turn it back over to Kyle. 
Kyle Larkin: Thanks, Lisa. I'll close with the following points. We started 2024 strong with significant growth in revenue, adjusted EBITDA and operating cash flow compared to 2023. This builds upon momentum carried into 2024 from the growth experienced in the second half of 2023. Our CAP supports this growth remains high at $5.5 billion. We see a continued strong public and private market environment supported by the IIJA and healthy state budgets across our geographies. 
 Bidding opportunities ahead of us are robust and should provide excellent opportunities to continue to grow CAP, meet our growth objective in 2024 and continue organic growth in 2025. Our guidance for 2024 is largely unchanged, except for an increase in our adjusted EBITDA margin range to 9.5% to 11.5% based upon the exclusion of stock-based compensation expense. I believe we are on track to meet our guidance for 2024. 
 With our derisked portfolio, we are seeing the positive effects of our ability to generate cash. In a seasonally slow quarter, we generated positive operating cash flow, and I expect to reach our target of operating cash flow of 7% of revenue for 2024. Finally, I expect further M&A to be completed in 2024. We're actively pursuing M&A that should drive cash flows and shareholder value. Operator, I will now turn it back to you for questions. 
Operator: [Operator Instructions] The first question comes from Brent Thielman with D.A. Davidson. 
Brent Thielman: Kyle or Lisa, I guess maybe just first on the Construction segment. Could you just talk about what you see in terms of performance of the new portfolio of work versus the old portfolio?  It doesn't appear to be any meaningful drag from kind of legacy stuff this quarter, but maybe you can just parse those two areas that and how you see things progressing there in that business segment. 
Kyle Larkin: Sure. Well, certainly, we're off to a good start in the first quarter, certainly on the top line and the bottom line relative to where we were in 2023. And I think it's -- as you mentioned,  it's the first year we haven't had the drag of really the ORP projects that we spoke about in the past and really good CAP. So we came in -- we've been building up a high-quality CAP, and we continue to do that. And so we're seeing kind of the benefits of that certainly as we get going here in 2024. 
Brent Thielman: Okay. And I guess, second, just the Materials business group, I know you've been doing a lot within that segment internally just in terms of investments. Obviously, externally as well. It's always a little difficult to see the effects of that in the bottom line for the first quarter just because of the seasonality, obviously. But maybe you could talk about the impact you're seeing from some of those investments you've made in that business group, what that's having on productivity, efficiencies, those sorts of things would be interesting to hear, Kyle. 
Kyle Larkin: Yes, so it's a good question. And really, we've been reinvesting in that business, as you all know, now for a couple of years. We've focused a lot on reserves and reserve expansion.  So a lot of that is replacing reserves that we had under-invested in probably in previous years. So we're getting caught up in many ways.  We're starting to see the acquisition of Brunswick Canyon, CMR up in Canada start to play in late last year and into this year, we'll start seeing those ramp up. 
 So  the last is really the automation effort. We're making a lot of investments in automation. The first plant is fully automated came online this year in Arizona. So we'll really start to see that ramp up for us in 2024 and beyond. And then we have another one coming online in Bakersfield in June. So I think it's still a little bit to come. I think we've been making a lot of those incremental investments that are going to pay off over really the long haul. 
 I think from a structure perspective, the timing is right for us. Our Materials team has done a really nice job of growing the Materials business. And it's a big part of our business today. And as you mentioned, we continue to reinvest in our Materials business, and we want to ensure that we're really maximizing the value in the Materials business and getting a return on those investments. And that's why we did this organizational change to let our teams do what they do best. 
 And overall, this is part of our transformation as a company and our journey. I don't think we have the organizational readiness to do this a couple of years ago, but we certainly are in a really good place today to make it happen. And so we believe that change will again help drive top line and bottom line growth beginning in '24, but into future years. 
Operator: Next question comes from Steven Ramsey with Thompson Research Group. 
Unknown Analyst: It's John calling in for Steven. So digging a little bit more into the Materials side, is there any kind of price volume factors you could discuss for this year, decent pricing? Do you kind of -- do you see that continuing? And then on the volume side, kind of what your just general thoughts are there? 
Kyle Larkin: Yes. Pretty consistent with what we shared on the last call. We see this year aggregate volume being relatively flat, which is healthy. Really compared to 2023. So the asphalt side is where we saw improvement coming, which we still believe is going to be the case primarily in California on the volume side. We have seen the pricing take hold that we said we're going to do, which was 10% on ag and 5% on asphalt. So that's good news there. And we're going to continue to kind of keep a pulse on the market and see there's further opportunities for us to adjust pricing accordingly. 
Unknown Analyst: Got you. Okay. And then on the CAP side, project bid environment right now, are you guys seeing any changes there? I think we're hearing that it might be getting a little bit more crowded on some projects in some areas. Just curious as to kind of what your thoughts are as the years progressed and the rest of '24, do you see any changes? 
Kyle Larkin: Well, CAP has stayed fairly consistent sequentially. Obviously, we're up about $400 million year-over-year. So we still feel really good about the CAP we have. We feel really good about the quality of the CAP that we have in place today. But I can tell you through April, we've been bidding more work this year than last year. So we're seeing a better market from an activity perspective. We've been picking up more work through April of this year than where we were last year at the time, and our margins on that work have increased as well. 
 So we think the market is very healthy -- remains healthy, both on the public and the private side. So maybe we're seeing a few things a little different than others. 
Operator: Our next question comes from Jerry Revich with Goldman Sachs. 
Adam Bubes: This is Adam on for Jerry today. Historically, I think 2Q EBITDA margin steps up to above where full year margins end up for the year? How are you thinking about the margin cadence over the course of 2024 versus normal seasonality? Any puts and takes that we should keep in mind there? 
Kyle Larkin: I don't know. I think you could probably go back and look at our typical seasonality. I think the hard part is we're a lot different business than we have been historically. So certainly, our risk profile with not having these mega projects. Our goal has been now for the last couple of years really derisking our organization in our portfolio and providing more consistent financial performance. 
 And so I think we're going to start to see that work Itself through, and we'll start to see a little bit less volatility certainly in our EBITDA margin moving forward. So I'd probably look back at maybe some of the seasonality and then we got to take out some of the abnormal kind of the bigger movement items that we've had to deal with. 
Adam Bubes: And then can you just talk about what level of material cost inflation you're factoring into your bid today? 
Kyle Larkin: Well, on the Construction side, we bid every single project, and we get coverage on inflationary items, contractors and suppliers. And then our owners also cover escalators and de-escalators. So those are already factored in. It's hard to give you an overall number from that perspective. And then on the Materials side, we have been able to increase our pricing, as I mentioned, on aggregate and asphalt, but we've also kept the energy escalator that we put in place in April of 2022. So that really covers us on the natural gas and diesel on those cost fronts. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kyle Larkin for any closing remarks. 
Kyle Larkin: Okay. Well, thank you for joining the call today. As always, we want to thank all of our employees for the work they do every day. I look forward to seeing many of you next week during the Construction Industry's Safety Week. Thank you for joining the call and your interest in Granite. We look forward to speaking with you all soon. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.